Executives: Adam Townsend - Executive Vice President of Investor Relations Sumner M. Redstone - Founder and Executive Chairman Leslie Moonves - Chief Executive Officer and Director Joseph R. Ianniello - Former Senior Vice President of Finance and Treasurer
Analysts: David Bank - RBC Capital Markets, LLC, Research Division Jessica Reif Cohen - BofA Merrill Lynch, Research Division Benjamin Swinburne - Morgan Stanley, Research Division Michael C. Morris - Davenport & Company, LLC, Research Division Anthony J. DiClemente - Barclays Capital, Research Division Meghan Durkin - Deutsche Bank AG, Research Division Alexia S. Quadrani - JP Morgan Chase & Co, Research Division John Janedis - UBS Investment Bank, Research Division Laura A. Martin - Needham & Company, LLC, Research Division Tim Nollen - Macquarie Research Alan S. Gould - Evercore Partners Inc., Research Division William G. Bird - Lazard Capital Markets LLC, Research Division James C. Goss - Barrington Research Associates, Inc., Research Division Marci Ryvicker - Wells Fargo Securities, LLC, Research Division
Operator: Good day, everyone, and welcome to the CBS Corporation Second Quarter 2013 Earnings Release Teleconference. Today's call is being recorded. At this time, I'd like to turn the call over to the Executive Vice President of Investor Relations, Mr. Adam Townsend. Please go ahead.
Adam Townsend: Good afternoon, everyone, and welcome to our second quarter 2013 earnings call. Joining me for today's discussion are Sumner Redstone, our Executive Chairman; Leslie Moonves, President and CEO; and Joe Ianniello, Chief Operating Officer. Sumner will have opening remarks and we'll turn the call over to Les and Joe, who will then discuss the strategic and financial results. We will then open the call up to questions. Please note that statements on this conference call relating to matters which are not historical facts are forward-looking statements, which involve risks and uncertainties that could cause actual results to differ. Risks and uncertainties are disclosed in CBS Corporation's news releases and securities filings. A webcast of this call and the earnings release related to today's presentation can be found on the Investors section of our website at cbscorporation.com. Reconciliations for non-GAAP financial information related to this call can be found in our earnings releases or on our website. And with that, it's now my pleasure to turn the call over to Sumner.
Sumner M. Redstone: Thank you, Adam. Good afternoon, everyone. Another quarter, another outstanding performance. I could not be more pleased with CBS's results. The reason, of course, the reason behind our success, is simple of course. We have great content. We have the right strategy, we have the people who know how to get the job done. That's why I am certain that CBS will continue to reach new highs for many, many years to come. Of course, to tell you more about it, I'm going to turn this over to my good friend and colleague, a man I rightfully call a super genius, CBS's President and COO, Les Moonves. Les, the ball's in your court.
Leslie Moonves: Thank you very much, Sumner, for those very kind remarks. And good afternoon, everybody, and thank you very much for joining us. I'm pleased to tell you that CBS has delivered yet another quarter for the record books. We had double-digit revenue growth of 11% to $3.7 billion, our best-ever in the second quarter. And our profits were the best we've achieved in any quarter in our history. OIBDA of $952 million was up 5%, with growth in every single one of our businesses. Operating income of $838 million was up 6% and EPS of $0.76 was up 12%. Again, all of these profit measures were all-time highs for the CBS Corporation and they were achieved against the spectacular quarter a year ago. Looking ahead, we are well on our way to another record-setting year with lots to look forward to in 2014 and beyond. The driving force behind our ongoing success is our world-class content. Throughout our company, our programming is commanding top dollar across every platform and our non-advertising revenue sources are becoming more and more meaningful all the time. During the second quarter, nonadvertising revenue represented 43% of our total revenue. That's quite a jump from not too long ago when less than 30% was the norm. And we continue to reload our content pipeline for the future. This summer, we debuted 2 exciting new franchise hits, Under the Dome on the CBS Television Network and Ray Donovan on Showtime, both of which have just been renewed for second seasons and both of which we own 100%. These are just the latest assets that we can monetize in the content value chain and help us grow our steady and recurring revenue streams in the years ahead. Meanwhile, the advertising marketplace is improving. Network advertising posted strong growth in the second quarter. And beginning this fall, we will reap the benefits of CBS's leading performance in the upfront marketplace where once again, we took share from our competitors and we were the leader in both volume and pricing. So in addition to our continued growth from retrans, reverse comp, streaming, sub fees and international sales, our base advertising business is also set up to perform very well right into 2014 and the future. Our strategic Outdoor initiatives are also well underway. I'm extremely pleased that we reached an agreement to sell our Outdoor operations in Europe and Asia at very good value. And the IPO of our Outdoor Americas business also remains on track for the first quarter of '14. Joe will have more on this a little later. These actions in our Outdoor business, along with the other growth drivers I just mentioned, give us great confidence in our future. One expression of that confidence came last week when we announced an expansion of our share repurchase program to $6 billion. This was the single largest increase we've ever made to our program. And along with our focus on our ongoing dividend, it demonstrates once again CBS's continued commitment to its investors. We've always said that one of the best uses of our strong free cash flow is to return capital to our shareholders and doing so will remain a key priority for us in the future as well. Before I give you some more highlights about each of our businesses, just a quick word about our negotiations with Time Warner Cable. Our current deal has been extended until Friday at 5:00 p.m. Eastern and we will update you when we have more news. Receiving fair value for our content is core to who we are, and we will remain resolute in this principle now and in all future negotiations as well. And that's all we are going to be able to say on this topic today. Now let's take a look at each of our segments, starting with Entertainment. During the quarter, the CBS Television Network finished the season as the most watched network in America. As you all know by now, we've done that 10x in the last 11 years and this time, we beat our closest competitor by 4 million viewers, the widest margin of victory of any network in 24 years. We also won in all key demographics, including adults 18 to 49 for the first time in more than 2 decades. Looking ahead to the upcoming television season, the strength of our schedule allowed us to renew 20 existing shows. We'll also be launching 5 new series and these new shows will feature some of the biggest names in the business from producers Jerry Bruckheimer and Chuck Lorre to actors Robin Williams, Sarah Michelle Gellar, Dylan McDermott and Will Arnett. Meanwhile, before we even get to the fall, we're changing the face of summer programming right now with Under the Dome. This has been the summer's biggest drama since 1992 and proves that network television can launch new programming anytime of the year. The first episode alone was watched by approximately 20 million people on TV and online. Since then, Under the Dome has continue to dominate Monday nights in viewers and key demos. And it's providing a tremendous platform to promote our fall lineup. This show is another example of an owned franchise that we can monetize in all sorts of ways. In addition to advertising, we've struck a terrific streaming deal with Amazon and we've done very well selling the show internationally where the series is being licensed in more than 200 markets and is already a big hit in Canada and Australia. And of course, it's been helpful in retrans and reverse comp negotiations as well. In addition, Big Brother is once again performing very well for us this summer, and you can expect us to continue to be more aggressive about using our network platform on a year-round basis going forward. And speaking of demand for our content around the world, we held our international screenings in May for our new shows, the response was very strong leading to significant global sales for our CBS, Showtime and CW owned content. Once again, this process allows us to ensure revenue for these shows before they even air in the U.S. and has profoundly changed the business model for owners of the best content. Streaming continues to be a terrific growth driver for us. We recently extended our deal with Netflix through 2015, and we also announced a deal with Amazon to stream our CBS and Showtime content in the U.K. and Germany. As you can imagine, there are lots of players out there looking to get into this space and we're constantly having discussions with them about further monetizing our content. Meanwhile, CBS Interactive has been doing extremely well and turned in another quarter of double-digit revenue growth. cbs.com is the #1 website among all TV networks in unique viewers and its revenue was up 35% for the quarter. Interactive revenue in China was up 30% and CNET was up 25%. Plus, we're posting extremely strong growth in mobile ad revenue, which was up 93% for the quarter. At CBS Film, we have some releases coming up this year that are generating significant buzz. In November, we'll have Last Vegas, starring 5 Academy Award winners, Michael Douglas, Robert De Niro, Morgan Freeman, Kevin Klein and Mary Steenburgen. We'll follow that up in December with the latest from the Cohen brothers, Inside Llewyn Davis, which won the Grand Prix at this year's Cannes Film Festival. Again, these 2 movies fit our model of medium-sized films with good upside potential. Turning to cable. Ray Donovan has come out of the gate as a big wholly-owned hit for Showtime. It set a record for the debut of the new Showtime series, drawing even more viewers than Homeland did in its launch. And now, it's pacing 48% of Homeland's freshman season, which has been one of the most celebrated shows in the past few years. In addition, next month, we'll premier the new series Masters of Sex. No, this is not a show about the New York City mayoral race, but it is yet another show in which we have ownership. Our success with owned content at Showtime is increasingly allowing us to replicate the long-term content value chain that we have been employing so successfully at the CBS Television Network. At the same time, Showtime's investment in Sports is also paying off. The first Floyd Mayweather fight since springing him over from HBO is a great success, reaching nearly 1 million Pay-Per-Views and we're looking forward to the next Mayweather fight on September 14th when he defends his title against Mexican undefeated middleweight, Canelo Alvarez. This is shaping up to be the biggest fight in very many years. In Publishing, we once again posted solid profit on the strength of our hit titles and our ability to sell these titles on multiple platforms. This includes the re-release of Stephen Kings' Under the Dome, which was a huge seller for us in the second quarter. Under the Dome is another terrific example of why Simon & Schuster is a great content business for us and fits very well inside CBS. And speaking of re-releases, the excitement about this summer's Great Gatsby film led to a 440% increase in book sales for that title in the quarter, proving once again that ownership of great content can pay off for decades. In Local Broadcasting, our strong summer ratings are giving a lift to our TV stations. Remember, that approximately half of local stations' revenues comes from ads in primetime and the late news. Meaning that when CBS does prime so well, local stations benefit considerably. Of course, this is also why we are increasingly getting paid compensation from our affiliates. In radio, we continue to grow our CBS Sports Radio network franchise. Since we announced the venture last year, we have expanded from less than 70 affiliates to more than 300. We now have programming in all the top 10 markets and in 38 of the top 50. Once again, the CBS Sports Radio network is a terrific example of the way we can grow a business by leveraging resources from across the company. So as you can see, we had another tremendous quarter setting us up for yet another tremendous year. Every one of our segments contributed to our success, obviously, led by our content businesses, which continue to prove that this is a golden age for those who have the best programming. All of the growth drivers we've been telling you about for years are performing ahead of our expectations. And when you look at our importance to cable, satellite and telco providers, the appetite for our content from the biggest companies in streaming, the explosion of international outlets looking to license our content, both on television and online, you can see why this is happening. At the same time, momentum in our base advertising business is building with primetime network advertising better than it's been in a long time and a political year just around quarter. So we had a record quarter. We're on track for another record year. And clearly, we have a very bright future ahead. With that, I will turn this over to our newly elected Chief Operating Officer, Joe Ianniello.
Joseph R. Ianniello: Thanks, Les, and good afternoon, everyone. Today, I'm going to provide some more details about our results for the quarter and year-to-date, then I'll discuss what we see ahead in Q3 and give you an update on our Outdoor initiatives. Let's start with the second quarter. As you just heard, CBS delivered very strong top line growth and our best quarterly profits ever. And we did this while investing in more hours of owned content. Our strategy of creating and distributing our premium content across all platforms continues to drive our results today and it's creating even bigger opportunities for growth in the future. In the second quarter, revenue was up 11% to $3.7 billion, with solid gains in every one of our key revenue types. Advertising grew 5%, driven by an 11% increase at the CBS Television Network, which is an acceleration from the first quarter. Content licensing and distribution revenue grew 22% as a result of increases in international syndication and digital streaming. And affiliate and subscription fee revenue grew 18%, driven by retrans, reverse comp and underlying cable affiliate fees, as well as our Mayweather pay-per-view fight. These revenue increases drove second quarter OIBDA up 5% to $952 million, plus with lower interest expense and share count, we turned this OIBDA increase into strong diluted EPS growth of 12% to $0.76. And once again, these profit measures were all-time records for us. You can get an even better perspective of the strength and consistency of our performance by looking at our results on a year-to-date basis. For the first half of 2013, revenue was up 9% to $7.7 billion, with strong growth across-the-board. Advertising was up 7%, content licensing and distribution revenue was up 9% and affiliate and subscription fee revenue, up 16%. Meanwhile, year-to-date OIBDA was up 9% to $1.9 billion. Operating income was up 12% to $1.6 billion, and diluted EPS was up 17% to $1.49. Now let's turn to our operating segments. In Entertainment, second quarter revenue of $2 billion grew 18%, driven by increases in TV license fees, advertising and affiliate fees. Growth in TV license fees was a result of higher international revenue from both streaming and traditional syndication. And as I just mentioned, network advertising was up 11%, partly benefiting from the timing of the NCAA tournament semifinals. Underlying network advertising grew 4% with such categories as financial services and healthcare, up strong double digits. And CBS Interactive had another strong quarter with revenue also up double digits. Entertainment OIBDA of $429 million for the quarter was up 1%. Some of this was affected by expenses related to the timing of the Final Four and our increased investment in programming. Looking on a year-to-date basis, OIBDA grew 9% to $909 million. Turning to cable. Second quarter revenue of $518 million was up 16%. We had affiliate revenue increases across all types of distributors: Traditional cable, DBS and telco. Plus, licensing revenue for our original content grew 41%. Cable OIBDA for the second quarter was up 9% to $207 million, reflecting the cost of our investment in sports and original programming, including our new hit, Ray Donovan. On a year-to-date basis, cable revenue increased 11% to $996 million and OIBDA grew 10% to $438 million. In Publishing. Second quarter revenue was even at $189 million. Publishing OIBDA grew $12 million to $21 million in the quarter. Our Publishing business continues to benefit from the shift to digital. For the first 6 months of the year, e-book sales grew 25% and represented 30% of total Publishing revenue. In Local Broadcasting, reported revenue for the quarter was down 1% to $698 million. Nonpolitical TV station revenue increased 1% from last year's second quarter, led by telco and Entertainment categories. Meanwhile, radio revenue was even with last year's quarter with auto and professional services up 3%. Local Broadcasting OIBDA of $255 million was up 3%, showing the ongoing benefits of our focus on cost controls, achieving a 37% margin, up 200 basis points from last year. On a year-to-date basis, Local Broadcasting revenue was up 1% to $1.3 billion, while OIBDA of $454 million was up 8%. In Outdoor Americas, second quarter revenue was up slightly to $335 million, driven by the U.S., which grew 2%. Domestic billboards, which is our most valuable piece of the Outdoor business, was up a solid 5%. Tech and auto categories were up both double digits. Entertainment -- excuse me, outdoor OIBDA for the quarter grew 4% to $107 million, reflecting our continuing efforts to renew contracts on better terms. Let's turn to cash flow and how we use that cash. During the second quarter, we generated $414 million of free cash flow, net of $150 million discretionary contribution to our pension plan. We expect this to be the last cash contribution to our pension plan for at least the remainder of the year. For the first half of 2013, we generated nearly $1 billion in free cash flow, again, net of this discretionary pension contribution. We continue to believe that buying back our shares is the best use of excess cash. As Les said, we recently expanded our share repurchase program to a total of $6 billion. This action once again reaffirms our commitment of returning value to our shareholders and it reflects the confidence and visibility we have going forward in our businesses. Since the start of the program in January of 2011 through the end of this year's second quarter, we returned $3.75 billion and retired a little over 112 million shares at an average price of a $33.41. Obviously, a great value from where we're trading today. Also, during this period, we returned $673 million to our investors through our quarterly dividends, which currently stand at $0.12 a share per quarter. Now let me give you a few observations about Q3. We see several drivers to our 3 main revenue types. First, we expect underlying advertising growth to accelerate. At the CBS Television Network, keep in mind that Under the Dome and Big Brother both premiered at the end of June. So you'll see substantial benefits of this investment in summer programming beginning in the third quarter. In addition, we'll have more inventory to sell than last year's third quarter when we had several political preemptions. Also, there are no Summer Olympics this year to eat into any of the advertising spend. And of course, we'll begin to reap the rewards of our new upfront pricing gains when the new season begins at the end of the third quarter. All of this is why we see underlying network advertising accelerating. On the local side, broadcasting is pacing flat to up low-single digits for Q3 despite tough political comps. At -- Outdoor Americas is also pacing to be up low-single digits. Turning to our content licensing revenue. We know that in the third quarter, we'll have the first cycle domestic syndication sale of NCIS: Los Angeles and The Good Wife. And Blue Bloods and Hawaii Five-0 are coming up next year. In affiliate and subscription fee revenue, we will continue to grow our retrans and reverse comp and we have the next Mayweather fight coming up in the third quarter. Now I'd like to give you a quick update on our Outdoor transactions. As we announced 2 weeks ago, we agreed to sell our Outdoor business in Europe and Asia to Platinum Equity for $225 million. We anticipate closing this transaction before the end of this year. And as Les said, the separation of our Outdoor Americas business is on track. We submitted our private letter ruling request with the IRS to convert our Outdoor business into a REIT. We -- and we filed a preliminary registration statement with the SEC on Form S-11 in June. Also, we made significant progress on our internal infrastructure to set up Outdoor as a separate standalone public company. So the process is moving ahead as planned, and we look forward to realizing the benefits of these initiatives in 2014. So in summary, CBS is building on its great momentum. We delivered a double-digit revenue increase and our highest quarterly profits ever, while continuing to take strategic actions to grow our business. Our investment in programming has afforded us new content that we can monetize in the days and years ahead, and our Outdoor initiatives will help further transform CBS into a company that's even more focused on its content. So we are still in the early stages of our transformation and the growth prospects we have outlined for you today will continue to drive our earnings into the future. With that, Robby, we can open the lines for questions.
Operator: [Operator Instructions] And we'll go first to David Bank with RBC Capital Markets.
David Bank - RBC Capital Markets, LLC, Research Division: A couple of questions. I guess, you guys talked a little bit about some of the expense pressure in the Entertainment segment related to the price of content. And I'm wondering if that's sort of a structural issue or a timing issue or maybe related to ratings performance in the past year leading to more pilots or something like that. If you can give a little bit more color around that. And then in the spirit of one question, I'll give you a second part of the question that's completely unrelated.
Leslie Moonves: Yes, right. David, as we expressed, Under the Dome is a brand-new form of entertainment. We haven't done, nor has anybody, done an original drama of this size in many, many years. Now the good news for us is because of the Amazon deal and because of the international sale, we were able to make this show profitable before it even went on the air. Now the fact that it went on the air and is a huge hit is really almost gravy and will bring in a ton of profits into the third quarter. However, this is new programming at north of $3 million an episode. So figure that out. That's in addition to our programming cost that didn't exist last year. It's things like that where you will see us invest more in programming, but also invest with the knowledge that we're going to get it back and then some. That show is going to be very profitable for years to come and it's the greatest way to invest our money.
David Bank - RBC Capital Markets, LLC, Research Division: Okay. So -- but you -- it's not really about having to have to produced more pilots or something as a result of the prior season, just this summer programming?
Leslie Moonves: Since I've been here in 1995, we have always done between 18 and 22 pilots and it's remained the same this year. When we are in last place, when we are in first place, we do the same number of pilots.
Operator: We'll go next to Jessica Reif Cohen with Bank of America Merrill Lynch.
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: I have one for Les, which is sort of a follow up to the first and then one for Joe. Les, given the incredible success as you've said in this call of Under the Dome, can you talk about how much appetite there is by spot players, by distributing players and what do you expect -- you already said that you're going to bring Under the Dome back but is there a lot more room to do more of this kind of first run, high-quality programming?
Leslie Moonves: Yes, I really believe there is. Obviously, the response was tremendous. Amazon is very pleased that they joined up early in partnership with us. Jeff Bezos actually spoke to me personally about how pleased they were that they experimented with this. I think you will see every network, and I know they are, develop and try to replicate the model that we did. I doubt many of them will have the same ratings as Under the Dome did. It was like the second highest-rated new drama of the year. The numbers were pretty sensational, but I think there's a huge appetite with the SVOD players out there to join us, plus the international desire for our content is not slowing down at all.
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: And is it just like a summer window that you have or do you think there are other times of the year?
Leslie Moonves: Well, look, we're -- we program all times of the year normally. We put on -- the question with Under the Dome when we renewed it is do we put on in February or in the summer and we decided to go with the summer. It's doing numbers that would have made it the second-highest drama on television, on network television. So we consider that but what it means is we get a program all year long from September to September.
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: Great. And then, Joe, I just -- you just increased the buyback and I was wondering if you could give us some sense of timing and what your comfort level will be on leverage post the Outdoor IPO/REIT?
Joseph R. Ianniello: Yes, sure. Obviously, we reloaded the program getting ready for the Outdoor transaction. So as we lever that business up and IPO, we'll have the capacity to buyback our stock quickly. We're continuing the same pace as the underlying program goes. And we're going to continue to relook at our ratios as we become more content focused and less advertising dependent. So we think we're creating tremendous financial flexibility and this program gives us the ability to capitalize on that.
Operator: We'll take our next question from Ben Swinburne with Morgan Stanley.
Benjamin Swinburne - Morgan Stanley, Research Division: If you look at the Under the Dome viewership, I think 1/3 of it was outside of C3 just highlighting again how important it is that we broaden out -- the industry broadens out the measurement. Can you talk about the upfront and sort of how that went as you think about extending to C7? And also, bringing on measurement for screening and tablets, what the time line is for there? And then I have a follow-up.
Leslie Moonves: Yes, that's a very good question and obviously, you're right. We -- the initial viewing of Under the Dome was $13.7 million. Then when you added DVR, you add streaming and VOD, it was north of 20 million people. So literally 1/3 of them. Now we did get paid for some of them on the DVR. I think within a year, by the next upfront, C7 will be the currency. I think there are some C7 deals done now because it's a question of reeducation. But since they were at C3, they're there. In addition, Nielsen is getting better by the day in measuring streaming. And I think we're closer and closer to our goal of getting every single eyeball measured. In addition, we have ways to measure beyond the C7 and put in more advertising. So once again, all this technology and all this measurement only is going to be helpful for us because everything is going to be counted and we're going to get paid in full.
Benjamin Swinburne - Morgan Stanley, Research Division: Great. And, Joe, if I could just follow up. You said underlying ad growth should accelerate in Q3. So at the network, am I thinking about 4% is the underlying network growth in Q2, if I back out the March Madness, is that the number?
Joseph R. Ianniello: Yes. Yes, Ben, that's correct. So the underlying, we said, would -- clearly going to accelerate in Q3.
Operator: We'll go next to Michael Morris with Davenport.
Michael C. Morris - Davenport & Company, LLC, Research Division: I have to ask a question about retransmission, not specific to any one agreement but -- and I apologize if it seems a bit rhetorical, I just want to get your current thoughts. The pushback that we hear on retrans or the concern is that your signal is available for you to air or there are different services that I won't name, but that people could perhaps use to get your signal or the content is on-demand in some places. So I guess the question is, why do you think you should be able to collect this retrans? I realize that's basic and I'm going back in time a little bit, but I think it's important to get your thoughts on that now. And then I have a follow-up.
Leslie Moonves: First of all, right now, over 85% of our airing, our viewing is done through satellite cable or the phone companies. That's number one. And the remaining 15% are not the most advertiser-friendly and the most appealing to our advertisers. Once again, these services and you, obviously, were referring to Aereo and we think it's a lot more wind than reality. It's an illegal service that would be in essence, stealing our content. We don't think it is catching on at all. When you see and talking in general terms of the MVPDs charging the amount of money they are to the public for their content, we feel like, and the have stated it, that he who has the most eyeballs should get paid the most. And since we are the #1 network, putting on NFL and putting on the #1 program in NCIS and the #1 comedy in Big Bang Theory, that we should be paid appropriately, that it's more important to take care of CBS. Once again, all the statistics, the average home has 100 channels but they're watching 10 to 15 of them. And we are one of those 10 to 15. In every home, we're actually #1 in every home, so we feel that it is justified and we should get paid for it and that's the way of the world. And by the way, most everybody agrees. Most everybody agrees and we are getting paid fairly in most places.
Michael C. Morris - Davenport & Company, LLC, Research Division: And then also, can you comment at all on the regulatory environment? It seems that if there is any concern on the political side, it's just in the perception of disruption is hurting the consumers. What -- any thoughts you have on that as you approach negotiations?
Leslie Moonves: You know what? Some people on the other side have gone to Washington and tried to shake things up. We have seen absolutely no movement on the part of Washington. Obviously, local leaders are appropriately concerned about their consumers in their areas being disrupted. And we understand that concern. We don't feel it's going to change anything. We're certainly willing to have discussions with them, and they are concerned, but we're not worried about the regulatory environment affecting our business one iota.
Operator: We'll take our next question from Anthony DiClemente with Barclays.
Anthony J. DiClemente - Barclays Capital, Research Division: First off, Joe, congratulations on your new role. I have a couple of questions. First off, Joe, I wonder if you can clarify for us and for investors how we should be thinking about the sequencing on the Outdoor IPO/REIT? Where are you in terms of the likelihood of getting that PLR before the IPO and are there any benefits for the IPO actually coming before that happens? How should we think about that?
Joseph R. Ianniello: Sure. Look, we said Q1 of 2014, and like I said, we remain on track for that. We will -- we filed with the SEC, so we got clear of the SEC and we're waiting for the ruling on the IRS. So the way you should think about it is what we're -- the current plan would be to lever the company up in Q1 of 2014 and IPO within the same quarter. So those proceeds we would use again to buyback our stock. If we don't have the private letter ruling at that time, obviously, we'll have to make a decision at that time based on current market conditions, where we go from there. But we still remain very confident in the process and our ruling request.
Anthony J. DiClemente - Barclays Capital, Research Division: And then one for Les, please, if I may. Les, there's some growing evidence out there that mobile advertising is starting to gain some real traction. I assume that you see that and you wonder the best way for CBS to monetize its content on mobile devices and I know that given your ownership of Syncbak, you have the technology to stream CBS or stream the CBS signal direct to mobile viewers for a subscription fee and so forth. So I guess, the question is, can you do that? Would you guys consider doing that? Or would your affiliate contracts require you to remain part of an authentication process with your existing distributors?
Leslie Moonves: A, Syncbak would include our affiliates as well; that we want them to be part of it and Syncbak, once again, a much more legal use of our signal than Aereo might be. So look, mobile is advertising, is growing in leaps and bounds. We're part of it. We're right there. We're on the iPad after 8 days right now, and we will be there earlier as soon as it's counted appropriately. So we welcome mobile. Once again, we welcome all sorts of legal use of our content that is paying us appropriately. We -- what's great about who we are, we continue to do great content and we're very nimble. We realize the models are changing. As I referred to in Under the Dome, we're now getting paid in a hundred different ways just from that one series. So we welcome what's happening with technology and we're on top of it.
Operator: We'll go next to Doug Mitchelson with Deutsche Bank.
Meghan Durkin - Deutsche Bank AG, Research Division: This is actually Meghan Durkin standing in for Doug. I wanted to just get your feeling on how you are set up going into the new season. It's seems like you're positioned pretty well given your comps aren't going to be as tough on Mondays and you get the political hours back and the NFL networking, where there were last year for the full 13 games or whatever it was. So how do you feel about that? How should we be thinking about it?
Leslie Moonves: Well, you sort of answered my question there. I mean, there's a lot less political hours from conventions, from primaries, from debates. Remember, there were 4 debates, election night. We only have 5 new shows, not every single one of them are going to work but they're all positioned in very good time periods where they can work. We do expect to improve on a few nights of the week and we're very pleased with the process and how our schedule looks for the fall. Look, this is spring training and everybody thinks they're going to do great as you get closer. But having returned 20 shows, we sort of know we're going to be in great shape no matter what else happens, that 20 shows will perform and we'll get an opportunity to launch some of them and we think we have a couple of real super hits there. So we're very excited and once again, the NFL is going to be strong, no political, we can't wait for the fall to begin.
Operator: We'll go next to Alexia Quadrani with JPMorgan.
Alexia S. Quadrani - JP Morgan Chase & Co, Research Division: My question is the -- on retransmission discussions, in general, not specific to any one, but do you find that they're getting more challenging now than they have been more given that more people have their hands out? Or is it just each one is its own animal and they're all the same kind of in a way?
Leslie Moonves: I think each one is its own animal. Look, each contract has different components and different requirements and you have different relationships with all these people. So look, every deal that we've made in the last 2 years has been an improvement from the one before. And I think once again, our job is to continue to produce the content that we're doing and get paid fairly for it so -- and each one is the same. [indiscernible] is not the same.
Alexia S. Quadrani - JP Morgan Chase & Co, Research Division: And just a follow-up on you're recent Netflix renewal. Any sense of how we could look at the revenue recognition, the timing of revenue for that renewal?
Joseph R. Ianniello: Yes, Alexia, we have some flexibility. We make those shows available to Netflix. So again, really, it's going to depend. I think, again, the takeaway is we renewed and extended the relationship so it continues to work well into '15. They're pleased with our product. So we're going to continue again, as Les said, produce the best content and continue to figure out ways to maximize the revenue. The timing of when it hits and what year and what quarter is really secondary.
Operator: We'll go next to John Janedis with UBS.
John Janedis - UBS Investment Bank, Research Division: Les, I'm wondering, with the FOX Sports 1 launch coming, are you seeing any change in the dynamic for the sports business given the increased inventory for sale? And is it impact pricing?
Leslie Moonves: You know what? We haven't really seen any great effect of it. We're obviously, going into football season for us and that's doing very well. In addition, our sports network, although relatively small in terms of advertising, is seeing growth in that area as well. By the way, I'm very happy we have our 4 major sports rights tied up for the next decade because clearly, the price of poker may go up but we have the NFL, we have the NCAA, we have the PGA TOUR golf and we have the FCC football contracts, so I'm really happy about that. Obviously, Fox is putting a lot of money and effort into it. They know what they're doing. I think they're clearly competing more with the ESPN than with us. And football sales look strong for the fall.
Operator: We'll take our next question from Laura Martin with Needham & Company.
Laura A. Martin - Needham & Company, LLC, Research Division: Les, one of the things we're seeing in the Internet premium video market is prices for video ads under pressure. A year ago they were $23 CPM. Today, Yahoo! is telling us they're getting $18 CPM. And that's the problem with infinite inventory. But I'm wondering looking at your upfront, where you came in at kind of 8%, 9% and I think with hopes for double-digit as we've gotten the last couple of years. Do you think increasing premium video online is putting downward pressure in your business, as well as the Internet premium video business?
Leslie Moonves: You know what? We don't look at it that way. Yes, we ended up close to 8% and we sort of said high singles, low doubles and we were high singles. I think your assessment about Internet video becoming bigger and stronger and there's a lot available, there's scarcity, still doesn't compare to what the network can bring. And I even noticed our competitors got substantial price increases as well, which actually surprised me how well they did. So look, I'm glad we're in the Internet video market, but I'm even happier that we're the #1 television network and getting paid the right amount for our ads.
Laura A. Martin - Needham & Company, LLC, Research Division: And then my follow-up is on, again, back to this Under the Dome, which is such an interesting model. We saw Netflix pay DreamWorks for 300 hours of kids programming, a type of programming DreamWorks has never done. Do you think we're going to see you guys kind of front and center of a lot of these SVOD platforms coming to you like Under the Dome because of your success and we're going to see a lot of new -- like a new profit center that we aren't thinking about from these guys getting you to produce content for them?
Leslie Moonves: That's exactly right. We are looking forward to producing content for all these guys. For Netflix, for Amazon. When people say, "Oh, gee, is Netflix a competitor?" Netflix is doing original content. They're buying a lot of good movie packages. Are they a competitor to Showtime? Probably. But by the same token, the CBS company would be happy to produce for them. Under the Dome is an exciting new model. And when you think about it, it's getting a lot of noise, but it's something that hasn't existed in many, many years. But without Amazon's help and without the strong international marketplace, we couldn't have done that with normal summer pricing for programming. Now with these guys wanting to get involved and get involved early, the sky is the limit in terms of that and what great assets they're creating for us. So we're happy they're around.
Operator: And we'll go next to Tim Nollen with Macquarie.
Tim Nollen - Macquarie Research: I have 2 advertising-related questions, please. First, I think the answer is no, but anything you could say, please, about any impacts from the recent Publicis Omnicom merger, that forming a major media buying agency. I just wondered if any of you can say in terms of how negotiations may work under that new arrangement? Secondly, your interactive growth looks like it was excellent and I wonder if you could say anything about Nielsen's online campaign ratings? And -- or cross-platform ratings and if is being used and if that makes any difference?
Leslie Moonves: I'll answer the first, and, Joe, you can answer the second. The first, it really is too early to tell. I remember, we had been concerned when WPP was amassing all those variety of advertising agencies and we were able to do a lot of business with them as we do with -- we have great relations with both Omnicom and Publicis. And once again, it's about -- we have good business with them. We'll see what it becomes like in the future. But in talking to our head of sales about it just the other day, Jo Ann had no great concerns. She said, look, we know the guys, we know the brands. It's not going to affect how we do business but it really is too early to tell.
Joseph R. Ianniello: And, Tim, on the interactive growth, I think, again, what's driving the growth, really, again, is the content. It's the premium video that's doing it. Clearly, obviously, it helps if Nielsen is measuring this and you can always back things up with advertisers and give them metrics, it always gives us another data point but I think again, the content is really what's driving the growth.
Operator: We'll go next to Alan Gould with Evercore Partners.
Alan S. Gould - Evercore Partners Inc., Research Division: Les, you may be seeing this less than your competitors given the strength of CBS, but as the cable networks are getting closer to the reach of broadcast networks, do you see a decline coming in the cable broadcast CPM gap?
Leslie Moonves: Number one, I don't particularly see that gap changing all that much. It has on a few shows but there's still a wide margin between their hits and our hits. I mean, NCIS is still watched by north of 20 million people every single week. Other than The Walking Dead, there hasn't been a cable show that's come even close to it on premium or on basic. And once again, they're doing some quality programming. So we don't view them as a threat in terms of taking our pricing anywhere. Our pricing has gone up for the last number of years and we think that will continue.
Operator: We'll go next to William Bird with Lazard.
William G. Bird - Lazard Capital Markets LLC, Research Division: Les, could you talk a little bit about just your strategy and plans for TVGN? And then separately, how would you rate the likelihood for streaming deals with new players in the next 6 months?
Leslie Moonves: Okay. TVGN, great acquisition, cheap price for our half. Lionsgate, a great partner, great -- other content company. There was a lot of low-hanging fruit. We put on Young and the Restless repeats and we put on Big Brother: After Dark, which increased the ratings like hundreds and hundreds percent. Now I realize that made -- that you saw the low number doing that. But it's the highest rating they've ever had. There are a lot of plans incorporating more CBS content, more live event programming from the red carpets, et cetera. So it's been, so far, wonderful and as I said Lionsgate is a great partner and our people are very excited and we're already seeing great results from advertising agencies as well. In terms of new streaming deals, we've had a lot of conversations. I don't know who's going to be the first one to step up to the plate. Whether it happens within 6 months, I don't know, it's possible with some of them. But we're talking to everybody and there are a lot of very interesting things going on out there. So I hate to be so general, but I really don't know much more than that.
Operator: We'll go next to Jim Goss with Barrington Research.
James C. Goss - Barrington Research Associates, Inc., Research Division: I have a couple of questions. First, I was wondering, does the consolidation in station ownership, that appears to be underway, seem likely to benefit their group pre-transmission [ph] efforts and therefore, your potential for a reverse comp and does it also prompt you to consider any additional property transactions, buying or selling mode in that area?
Leslie Moonves: Good question, Jim. Look, the consolidation, the acquisitions, number one, only proves how valuable television stations are in this day and age. We have 27 of them. We have 27 of them, and once again, we're happy we held on to them. We're happy we didn't get rid of any them because it only bodes well for the future. Does the consolidation mean they will get more retrans? That's a very possible outcome of this. It's very interesting to see where the landscape comes out. We look forward to -- we have great relationships with all the big companies, and we don't think our relationships should change and everybody is moving towards you have to pay for the guys who have the best content.
James C. Goss - Barrington Research Associates, Inc., Research Division: Okay. And separately, does the -- how is the value of your older content faring as Netflix and Amazon focus on newer and/or proprietary series?
Leslie Moonves: Some of it works, some of it doesn't work, like everything else. I mean, we sold Netflix a huge bundle of content, as you remember, a few years back. Some of it did extraordinarily well. I mean, they'd kill for more Star Trek episodes. They love that. Some of it, not so well. But once again, we've, as mentioned before, as Joe mentioned, we've renewed the deal through 2015 and it has some of what was existing before and some of it going forward. So the good news about us is we have great current programming and we have a great library, and we will sell them both as need be.
Operator: Marci Ryvicker with Wells Fargo.
Marci Ryvicker - Wells Fargo Securities, LLC, Research Division: Two questions. The first, Joe, can you give us a little bit more color on the Q3 pace and maybe separate what's going on with the TV stations, same station radio and then the U.S. Billboard business? And then the second question is just have you gotten any indication from the IRS whether or not you'll get the private letter ruling even if it the work group study is not finished by year end? I don't know if your comments about your private letter ruling not coming by year-end had anything to do with this work group study.
Joseph R. Ianniello: Yes. No, look, the work group study, again, is really, again, been a nonfactor in terms of -- the dealing with the IRS. Whatever internal process they go through, I guess, is obviously up to their discretion. But again, we continue to have an open dialogue with them and we'd never expected to have our ruling in hand today. So again, right now, it's the normal course, and we'll evaluate that and update you, again, as we know more. But again, we are pretty confident in our request. As far as color on Q3, look, U.S. Billboards, again, is the bread-and-butter. So that's definitely kind of leading the way, but I would kind of characterize the U.S., the Outdoor business, again, up that low-single digits range, 1% to 3%. And looking at Local Broadcasting, radio is kind of pacing flat and TV remember, we have a difficult comp in political. So we'll see how that kind shakes out exactly but as I said earlier, kind of flat to up low-single digits, again, is pretty impressive given the tough political comp from a year ago.
Leslie Moonves: Great. Thanks, Marci, and this concludes today's call. Thank you, everyone, for joining us. Have a great evening.
Operator: That does conclude today's call. Thank you for your participation.